Operator: Good day and welcome to the Exponent, Inc. First Quarter 2025 Earnings Conference Call. All participants will be in the listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Joni Konstantelos. Please go ahead.
Joni Konstantelos: Thank you. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent's first quarter 2025 financial results conference call. Please note that this call will be simultaneously webcast on the investor relations section of the company's corporate website at investors.Exponent.com. This conference call is the property of Exponent, and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Dr. Catherine Corrigan, President and Chief Executive Officer; and Rich Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements including, but not limited to, Exponent's market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent's periodic SEC filings, including those factors discussed under the caption risk factor in Exponent's most recent Form 10-Q. The forward-looking statements and risks in this conference call are based on current expectations as of today, and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now I will turn the call over to Dr. Catherine Corrigan, Chief Executive Officer. Catherine?
Catherine Corrigan: Thank you, Joni, and thank you, everyone, for joining us today. I will start off by reviewing our first quarter 2025 business performance and strategic positioning. Rich will then provide a more detailed review of our financial results and outlook, and we will then open the call for questions. Exponent's first quarter results exceeded expectations, reinforcing both the resilience of our diversified business model and the value we deliver. Despite starting the year with a 5% to 6% headwind in technical full-time equivalent employees due to our focus on aligning resources with demand over the prior 18 months, we achieved approximately flat revenues due to strong activity from a few key industries. In reactive services, the demand for our failure analysis expertise drove dispute-related activities in the chemicals, transportation, and utilities industries. Our proactive engagements were led by risk management and regulatory support activities. As expected, we were impacted by easing in the consumer electronics industry due to the timing of clients' product development life cycles. We are pleased to report sequential headcount growth of 2%, due in part to lower turnover than previously expected, while at the same time achieving mid-70s utilization. While we are very mindful of the current macroeconomic uncertainty and have seen some instances of clients delaying proactive work for this reason, we continue to hire in areas where demand remains strong. Over the last three decades, Exponent has demonstrated an ability to effectively navigate challenging economic cycles. A key contributor to this resilience is our reactive work, which is driven by disputes and failure analysis investigations across the globe, which have historically been less impacted than other professional services during challenging economic cycles. Lawsuits, accidents, illnesses, and environmental impacts are constants that necessitate our specialized expertise. Clients are required to address these issues regardless of the broader economy. Our business is approximately 60% reactive and 40% proactive. The vast majority of our reactive work is litigation support. The remainder of our reactive work is accident and failure investigation, product recalls, regulatory actions, and insurance investigations. Our proactive work involves product and process improvement, research and development, risk management, and regulatory consulting. During 2024, we worked on over 10,000 engagements for over 2,000 clients across a range of industries. The consumer products industry represents approximately one quarter of our revenue, of which approximately two-thirds is proactive work for consumer electronics clients. Product development cycles influence the timing of our work in this industry. However, the complexity of these products and the pace of innovation required by these clients to stay competitive remain long-term growth drivers. Furthermore, shifts in global supply chains as clients navigate the tariff environment create manufacturing challenges over time, for which we are well positioned to assist. The energy industry represents approximately one-fifth of our revenue. Our work in this industry is split about evenly between reactive and proactive services. Growing energy demand is driven by artificial intelligence and data center investments, along with the related infrastructure development, inevitably leads to disputes that fuel our reactive business. On the proactive side, our risk management work in the utility sector continues to grow independent of macroeconomic volatility as the industry experiences increasing energy demand while its infrastructure ages past its optimal use and with the consequences of failure ever increasing. The transportation industry's percentage of our revenue is in the mid-teens, of which approximately 90% is reactive. Disputes regarding the design and performance of advanced vehicle technologies are becoming more prevalent and increasingly complex, driving increased demand for our specialized expertise. The chemical industry's percentage of our revenues is in the low-teens. Approximately 60% of our revenue in this industry is proactive, and remaining 40% is reactive. The vast majority of our proactive work in this industry is regulatory consulting. Our data-driven insights are critical for projects related to environmental health, process engineering, and chemical safety, such as the growing concerns about the impact of PFAS on communities and ecosystems. The life sciences industry's percentage of our revenue is in the high single digits. Our work in this industry is split about evenly between reactive and proactive services. Our experts are advising clients on the root causes of safety concerns related to medical devices and diagnostics, leveraging multidisciplinary approaches that include expertise in material science, manufacturing, human factors, and health sciences. We also assist our clients with regulatory clearance and approval. The construction industry represents 5% to 10% of our revenue, of which approximately 90% is reactive. Our multidisciplinary teams provide domestic and international clients support for complex construction challenges and disputes. It is the critical nature of our work and the unrelenting expectations around safety, health, and the environment that continue to drive reactive engagements regardless of economic cycles. While clients certainly may tighten their belts to manage costs, they still need independent expert advice to navigate the path forward. Even when an industry is applying cost pressures, this reactive work often comes back, which is what we saw in the chemical sector this quarter. Although uncertainty is pervasive in our current environment, Exponent has historically proven resilient through economic cycles. When combined with accelerating innovation and increasing expectations for safety, health, and the environment, this strategically positions us to weather economic volatility while seizing long-term sustainable growth opportunities. Rich?
Rich Schlenker: Thank you, Catherine, and good afternoon, everyone. Let me start by saying all comparisons will be on a year-over-year basis, unless otherwise noted. For the first quarter of 2025, total revenues were approximately flat at $145.5 million, and revenues before reimbursements, or net revenues, as I will refer to them from here on, were also approximately flat at $137.4 million, as compared to the same period in 2024. Net income for the first quarter decreased to $26.7 million, or $0.52 per diluted share, as compared to $30.1 million, or $0.59 per diluted share in the prior year period. During the quarter, we realized a negative tax impact associated with accounting for share-based awards of $500,000, or $0.01 per share, as compared to a tax benefit of $900,000, or $0.02 per share, in the first quarter of 2024. The change in the tax impact associated with share-based awards was due to the difference in value of the common stock between the grant date and the release date for the restricted stock units. Inclusive of the tax impact per share-based awards, Exponent’s consolidated tax rate was 29.4% in the first quarter of 2025, as compared to 25.4% for the same period in 2024. EBITDA for the quarter decreased 6% to $37.5 million, producing a margin of 27.3% of net revenues, as compared to $40.1 million, or 29.2% of net revenues in the first quarter of 2024. This year-over-year decrease in margins was driven by an increase in stock-based compensation, an increase in the other operating expenses, primarily associated with the Phoenix land lease renewal during the second quarter of 2024, and the loss of a tenant in our Menlo Park facility. Billable hours in the first quarter were approximately $376,000, a decrease of 4% year-over-year. Average technical full-time equivalent employees in the first quarter were 966, which is a decrease of 4%, as compared to one year ago. Headcount is down year-over-year, as we have aligned our resources with demand. Sequentially, full-time equivalent employees increased 2%, as compared to the fourth quarter of 2024, due to our recruiting and retention efforts. Utilization in the first quarter was 75%, approximately flat compared to the same period in 2024. The realized rate increase was approximately 4% for the first quarter of 2025, as compared to the same period a year ago. In the first quarter, compensation expense, after adjusting for gains and losses in deferred compensation, increased 1%. Included in total compensation expense is a loss in deferred compensation of $9.3 million, as compared to a gain of $6.3 million in the same period of 2024. As a reminder, gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottom line. Stock-based compensation expense in the first quarter was $8.2 million, as compared to $7.3 million in the prior year period. Other operating expenses in the first quarter were up 15%, to $12.1 million, driven primarily by the increased non-cash expense associated with our Phoenix lease renewal and investments in our infrastructure. Included in other operating expenses is depreciation and amortization expense of $2.5 million for the first quarter. G&A expenses declined 11%, to $5 million for the first quarter. The decrease in G&A expenses was primarily due to lower expenses for professional development, bad debt, and legal. Interest income increased to $2.7 million for the first quarter. Higher interest income was driven by an increase in cash and cash equivalents. Miscellaneous expenses, excluding the deferred compensation loss, were approximately $50,000 for the first quarter, which included a $250,000 foreign exchange loss and rental income of $190,000. During the quarter, capital expenditures were $1.8 million. We distributed $16.4 million to shareholders through dividend payments and repurchased $5 million of common stock at an average price of $77.31. Turning to our segments, Exponent’s engineering and scientific segment represented 84% of revenues before reimbursement in the first quarter. Revenues before reimbursements in this segment were approximately flat in the first quarter. Activity during the quarter was driven by Exponent services across transportation and utilities industries. Exponent’s environmental and health segment represented 16% of revenues before reimbursement in the first quarter. Revenues before reimbursements in this segment increased 2% for the first quarter. Growth in this segment was driven primarily by the increase in engagements in the chemicals industry. Turning to our outlook, for the second quarter, as compared to one year prior, we expect revenue before reimbursements to be down in the low single digits and EBITDA to be 26% to 27% of revenues before reimbursement. For fiscal 2025, the year, we are maintaining our revenue and margin guidance. We expect revenues before reimbursements to grow in the low single digits and EBITDA to be 26.25% to 27% of revenues before reimbursement. As a reminder, we are returning to a 52-week fiscal year in 2025. The extra week in 2024 posts a 1.25% headwind for the full year net revenue comparison. We started the year with a 5% to 6% headwind in technical full-time equivalent employees. Due to the gains made during the first quarter, we expect year-over-year technical full-time equivalent employees to be down approximately 1% in the second quarter. At year end, we expect headcount to be approximately 4% greater than we started the year with. We expect utilization in the second quarter to be 71% to 73% as compared to 75% in the same quarter last year. Approximately 150 basis points of the decline in utilization is because the second quarter of fiscal 2025 includes the July 4th holiday, which was part of the third quarter in 2024. We continue to expect the full year utilization to be 72% to 73% as compared to 73% in 2024. We expect the year-over-year realized rate increase to be 3% to 3.5% for the second quarter and full year. For the second quarter of 2025, we expect stock-based compensation to be $5.1 million to $5.4 million. For the full year 2025, we expect stock-based compensation to be $23.7 million to $24.2 million. We continue to believe that our stock-based compensation program effectively attracts, motivates, and retains our top talent. For the second quarter, we expect the other operating expenses to be $12.1 million to $12.6 million. For the full year, we expect other operating expenses to be $49.5 million to 50.5 million. As a reminder, the increase in other operating expenses is primarily due to the extension of our Phoenix lease. We are very excited to have secured this facility as we believe it will continue to be an integral part of our growth, especially with the advancement of automated vehicles. For the second quarter, we expect G&A expenses to be $5.8 million to $6.3 million. For the full year, we expect G&A expenses to be $24.8 million to $25.8 million. The increase in G&A expenses for the full year is primarily due to an expense of approximately $2 million for the firm-wide managers meeting in the third quarter of 2025. This meeting is an important investment in people development that will bring together our multidisciplinary teams, develop our key talent, and foster the next generation of leaders and business generators. We expect interest income to be $2 million to $2.2 million per quarter during 2025. In addition, we anticipate miscellaneous income to be approximately $200,000 per quarter for the remainder of 2025. We continue to work to replace the rental income that we lost in our Menlo Park facility. For the remainder of 2025, we do not expect any additional tax benefit or loss associated with share-based awards. For the second quarter of 2025, we expect our tax rate to be approximately 28% as compared to 26% in the same quarter one year ago. For the full year 2025, the tax rate is expected to be 28.5% as compared to 26% in 2024. The increase in the tax rate is due to the decrease in tax benefits from share-based awards. Capital expenditures for the full year 2025 are expected to be $10 million to $12 million. Our team continues to closely monitor the activities of the new administration in Washington so that we can position ourselves to respond to the opportunities and challenges faced by our clients. Our work directly for the federal government, which comprises approximately 3% of our business, consists largely of advanced technology evaluations and integrations for the Department of Defense and Department of State. To date, this work has not been impacted. With regard to our regulatory consulting work, we have experienced some slower responses from federal regulators regarding our clients' products. Our regulatory consulting and compliance work represents approximately 11% of business. This includes our regulatory consulting and compliance work for the chemicals industry, which represents 6% of our business, of which approximately two-thirds is performed outside the United States, for clients who need to navigate a myriad of complex global and regulatory frameworks. The remainder of our regulatory consulting and compliance work, which represents 5% of our business, is split between consumer products, food and beverage, life sciences, energy, and transportation industries. At the FDA, we anticipate the possibility of heightened scrutiny, particularly in the area of chemicals and processed foods. With regard to our emerging chemicals, such as PFAS, much of this is driven by litigation at the state and municipal levels, which has not been impacted. We are well positioned to support our clients as they navigate the complexities of a dynamic global regulatory environment, and at the same time pursue their long-term product strategies. In closing, we remain confident in our ability to generate long-term profitable growth. I will now turn the call back to Catherine for closing remarks.
Catherine Corrigan: Thank you, Rich. Exponent thrives in the face of change, whether it's driven by innovation or disruption. Transformation of industries continues unabated, driven by powerful forces, including the accelerating use of artificial intelligence in critical decision-making, increased energy demands, and extreme weather. Technological advancements are revolutionizing safety-critical products, and human health risk is of ever-increasing concern. As our clients navigate increasing complexity, we remain focused on advancing our capabilities, investing in top talent, and delivering trusted insights that help our clients adapt, lead, and grow in dynamic environments. Operator, we are now ready for questions.
Operator: Certainly. We will now begin the question and answer session. [Operator Instructions] The first question comes from Toby Sommer with Truist. Please go ahead.
Jasper Bibb: Hey, good afternoon. This is Jasper Bibb on for Toby. I was just hoping maybe to contrast for us the growth rates in proactive and reactive work this quarter as well as maybe what share of reactive work is in the portfolio today.
Rich Schlenker: Yeah, so we ended up seeing that we had the growth in the reactive business was in the low single digits, which was then offset by a slight decline in the proactive services overall.
Catherine Corrigan: And in terms of your question just about the proportion, Jas we run now about 60% is reactive, 40% is proactive, and of that 60% reactive, most of that probably 80% to 90% of that is going to be litigation or dispute driven.
Jasper Bibb: Okay, thanks. That's helpful. And then I guess just curious if you've seen any changes in the pace of proactivity across maybe certain end markets in the past few months? I mean, I think in the past we've talked about supply chain changes potentially driving demand. So, I'm curious if there's been just any change in what you're seeing with the reassuring agenda of new administration.
Catherine Corrigan: Yeah, yeah. So, thanks for that. I mean, look, we do in general over time when our clients are facing change, so supply chain disruptions, decisions about using different materials because of that supply chain disruption. These are the kinds of changes that can impact the reliability and the quality and the performance and safety of their products. And so, as our clients across industries including consumer products, including electronics, including medical devices, look to diversify their supply chains we do see opportunity in that. Now, that does take some time to manifest itself. They don't change their supply chains on a dime. And so, we certainly are seeing scenarios where clients are exploring those opportunities and they are looking toward a diversification strategy. And so, we're making sure that we are in close relationships with them regarding that and are engaged in positioning ourselves to assist them if and when they do decide to make those changes.
Rich Schlenker: Yeah, I would just add to that that where we've seen it specifically, again, it's still at the edges today because we're early in this. But what we're seeing is for our clients that have over time here over the last several years begun to move activities to other parts of Asia from China, that work, as you move into those new manufacturing environments and new supplier relationships, you do see an increase in demand from those clients around doing additional evaluations and testing and run into more defects during that early manufacturing phase. And so, we are seeing some increases of that right now. And that has led to some increased activity on that front. On the life sciences side, particularly in the medical device area, again, as clients, depending on what phase they're in, we've had a few clients who are still in the last month or two at a point where they could consider a different supplier and material for their device. And we have been engaged by a couple of clients in helping them evaluate those different materials and suppliers in that game. So, those are current real-time examples. Again not moving the needle one way or another, as you can tell from our results here in the first quarter, but those activities are real and are happening.
Jasper Bibb: Thanks for taking the questions.
Operator: The next question comes from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Good afternoon. Thanks for taking my question. I'm curious if you could unpack the second quarter outlook a little bit further. It looks like, I think Richie said that there is a headwind to utilization from the July 4th holiday, but it's still even excluding that, a little bit softer compared to what you saw on Q1 in the first half of last year. So, just wondering understanding that there are some areas here where you're seeing an uptick in interest, if there are obvious examples that you've seen over the last month where the softness is maybe more pronounced, or if there's anything else baked in there that I'm not contemplating.
Rich Schlenker: Yeah. So, Andrew, we definitely have the utilization is a point or two below being on an apples-to-apples basis, even with where it was last year. So, first of all, for everybody to repeat a comment that I made in my prepared remarks, which is the first 150 basis points to 200 basis points of a difference there is really related to the 4th of July holiday week being part of our second quarter, which includes holiday and extra vacation taken that fit into that timeframe and bring us there. So, that's part of it. That would take you to 75% to 73%. The other being slightly below that is it is based on the inputs from the organization relative to what's going on in the market. I will say that the adjusted UT at when we're talking about it for going from the first quarter to the second quarter would put us right in that 72% range. So, from when you're adjusting for holidays and vacations and timing on that, the adjusted UT at 72% is right on with where it was. But I think that our people, as we go out to them, to each individual and business units, are seeing a few of these instances on the edges where the work for life sciences clients who are going through a regulatory process and approval are seeing that it takes a few weeks longer to, and it's unpredictable when the follow-up meeting to confer with the FDA might occur. Not that it's going to go away. The clients are clearly, and we've addressed this, still committed to it. It's just a little bit of uncertainty there. We have seen in some areas on some proactive testing on a battery technology for a client in the consumer products area, where the client, again, uncertain about where they're going to be able to-- what they're going to be importing, and from where they're going to be doing that. So, they were going through a battery assessment of a new supplier. They put that on hold because they wanted to wait until they figured out where they were going to be moving that production to. So, again, we're talking about maybe that's impacted people's forecast by 100 basis points, maybe most 200 basis points where they're seeing those things around the edges. So, I do think you're seeing some guidance here that reflects that that little bit of negative activity and uncertainty coming through.
Andrew Nicholas: And then, I guess, sorry to belabor the point with the numbers here, but just in terms of guidance, are you assuming that those edge cases remain edge cases for the back half of the year, or do those delays work themselves out? Just wondering from, like, a visibility perspective, how much maybe it would need to change or improve or even get worse at the bottom of your guidance, just so we have the guidance and the conservatism.
Rich Schlenker: Completely understood and appreciated. Look, I think that our guidance, as it was back in February and where we're maintaining it now, includes what we see as the current sort of environment being the thing where these are edge cases where we expect the clients on the reactive side are tightening their belt a little bit, but are going to continue forward with all the work and do it, that clients on our utility risk work in there that's part of the proactive will continue forward full steam, that our clients in the consumer electronics area where we've seen a little bit of slide, but that work will get done here in 2025, that it's not pushed out. We don't have any indication right now from those clients that it will. It's just always a matter of when do they have hardware ready to be able to evaluate and do that. And then the last part of our proactive in the regulatory segment, that it stays at this sort of level where you're seeing some short or moderate deposits in some work, but it's not having a major impact on the overall business. So those are the things that we're considering as we give both the quarter and full year guidance. But if things obviously turn a lot worse and such, then obviously anybody would have to reconsider that. But we have taken into account the current sort of environment and what we're seeing as the impact.
Andrew Nicholas: Perfect. And maybe if I could just squeeze one more in, and maybe talking on the other side of the coin, you highlighted a few areas where an uptick in interest, or I guess demand could come. I think Catherine, you said it does take some time. Is that something that could positively impact you as soon as the second half, or is that more of a 2026 item? And I ask just to get a sense for maybe what the lag is on some of that cross-border changes or supply chain reconfiguration. Thanks again.
Catherine Corrigan: Yeah. No, I do think, Andrew, that there is upside potential in that in 2025. When you think about the implications of the supply chain shifts, I mean, there are aspects of this as well. If you think about the Department of Health and Human Services, the increasing scrutiny around chemicals and food, a lot of our work in pesticides. If you think about PFAS as another example, I mean, these are all areas of significant concern that are wrapped around human health risk. And these are areas that we aren't seeing necessarily those concerns abating at all. They tend to be following the trends of the bar being raised. And so there is definitely opportunity for us in 2025 to realize that.
Andrew Nicholas: Thanks again.
Operator: We have our next question from the line of Josh Chan with UBS. Please go ahead.
Josh Chan: Hi. Good afternoon, Catherine and Rich. I guess so far you've talked about the impacts from some of the government policies, but I think in the prepared remarks you also mentioned some macro-related impacts. So, I was wondering if you could talk about what you're seeing there and how impactful do you think the macro environment is for your customer decision making. Thank you.
Rich Schlenker: Yeah. Maybe I'll just start off at the highest level and then let Catherine sort of give a little dive back into some of the comments that she provided earlier. I think, look, we wanted to make sure that on this call is since the environment, the tariffs or other economic things could be very broad-based outside of sort of the energy area and utilities, most of our clients produce a product, they manufacture and get supplies from around the world. And we wanted to make sure that investors had the benefit of understanding the size of those industries, how much of them is really-- where the concentration in proactive versus reactive is and where that impact might lie. As we've stated a lot of 60% of our work is reactive in nature. Clients in those areas they need to proceed and find third party experts to help them with that work and do it. Can you tighten the belt? Yes. What we've seen over decades is that clients tighten their belt, but they still proceed with all those matters. They have to in those circumstances and do it. And when you turn over to our proactive side we've got utilities clients that are responding to risks and wildfires and other natural events and doing it. And we've got in the chemicals industry and life sciences and others, while there is disruption to the regulatory environment right now, these are heavily regulated industries and will remain heavily regulated industries that will be there. Again, they'll have some impact, but they will continue to go. So we're trying to premise whatever the impact in a broader basis be, you at least have the information to understand our exposure.
Catherine Corrigan: Yeah. And look, I would just add the transformation that is going on across so many of the industries that we serve whether that's in electronics with human health and wearable technology, whether that's utilities needing to improve the integrity of their assets to withstand extreme weather, whether that's the pharma industry trying to demonstrate the value of their medicines or have better real world evidence, vehicle automation and electrification, these complex transformations are going, I have a lot of confidence that these will continue. And what's happening now from the standpoint of the economy and tariffs, I mean, this is introducing even more complexity. But that race to innovate, the safety critical nature of the innovations that are coming through that societal expectation around safety and health and the environment those are still there. Global regulatory frameworks continue to rise and we see the work we do over in the EU and globally. That is something that continues to happen. And so as yes, in the short term, we have uncertainty and our clients, but they do turn to us as they are transforming their products to help them ensure the safety and health of their ultimate users.
Rich Schlenker: And look, what we saw happen all the way back in the financial crisis was yes, clients tighten their belt. We went from mid to high single digit growth to being flat in ‘09 but back to growth in 2010. We definitely saw the tightening of the belts and resetting of things in the consumer electronics industry back in late ‘22 and early ‘23. And we've seen that come back around already, in 2024 we saw that really stabilize for us and come back. We've been through a little bit of belt tightening in the chemicals industry in late ‘23 and early ‘24. And again, I've seen the clients need to come back and still address their litigation and regulatory issues. So we think the resiliency is there. You can never predict every little bit, every quarter, but we've got a very diverse portfolio here that's really helped us through some of these more challenging times.
Josh Chan: That's really helpful color and really appreciate the percentages at the beginning of the call too. That's really helpful. Maybe my last question is on the FTE growth. I guess in the midst of this environment how do you think about the pace of FTE growth going into a potentially choppier or less visible type of environment? Is there anything that would cause you to look at that again?
Catherine Corrigan: So look, as we look out into the rest of the year, we are continuing our plan, which is around hiring, making sure we are hiring in those areas of the business where we see increasing demand. What are some of these areas? The automated vehicle space. This is a place, particularly on the litigation side with advanced driver assistance technologies, but also some of the safety case related work as this industry transitions from nominally level 2 automation to level 3 automation. That is a big, big technological step with a lot of risk. There's a lot of movement in that industry and we are seeing a lot of ability to acquire talent there. We are acquiring talent on the asset risk side. People who understand how to use these sophisticated engineering models to understand the risks associated with all kinds of hazards, whether that's extreme weather or induction issues and transmission or what have you. We are hiring in the digital health side and wearables because that is a transformative technology when it comes to our understanding of human health, right? So, we are very focused on strategically hiring. We do believe as Rich indicated as we get to the end of the year that we estimate we would be about 4% ahead in headcount of where we were when the year started. So, we have been closing that gap. We started the year 5% to 6% behind. We anticipate in Q3 the year-over-year FTE difference will be minus 1%. So, as we progress through the year, we do believe that we've got the market drivers and a great employee value proposition that's going to allow us to grow that headcount.
Josh Chan: Excellent. Thank you for the call and thanks for your time.
Operator: Thank you. We have no further questions, ladies and gentlemen. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.